Operator: Good morning, ladies and gentlemen. Welcome to the Canadian Energy Services and Technology Corp. conference call. Presenting for the company today will be Mr. Tom Simons, President and Chief Executive Officer; and Mr. Craig Neiboer, Chief Financial Officer. Please be advised this call is being recorded. A question and answer session will follow the end of the presentation. I would now like to turn the conference call over to Mr. Craig Neiboer, Chief Financial Officer of Canadian Energy Services and Technology Corp. Please go ahead, Mr. Neiboer.
Craig Neiboer: Thank you. Good morning, everyone, and thanks for attending the call today. Before we start I’d like to note in our commentary today there will be forward-looking financial information and that actual results may differ materially from the expected results due to various risk factors and assumptions. These risk factors and assumptions are summarized in our Q2 MD&A, our Q2 press release, and in our AIF dated March 13, 2014. In addition, certain financial measures that we will refer to today are not recognized under current generally accepted accounting policies and for a description and definition of these, please see our first quarter MD&A. At this time, I'd like to turn the call over to Tom, our president and CEO.
Tom Simons: Good morning. Thank you, Craig. As usual, I'm going to go walk callers through an update on operations, provide a bit of color on our different pieces of our business, different markets where we see things going, how the quarter was. Craig will update everyone on financial results and performance, balance sheet position and then we'll take questions. About Q2, we slightly exceeded our own expectations which we're pleased to report here and Canada. Our drilling mud customers, I would say, were a little less active than industry average. We did have good quarter. Our deep drilling fluids using brines were continuing to be used. We're continuing to find places where they’re lowering cost for customers if they're properly applied. Our SAGD business was strong through the quarter. That's a segment of the drilling market that is not as impacted by breakup here in Canada as other areas. Today, we're at about 145 jobs here in western Canada. We expect that to increase by another 10 to 15. We'd like to add that we have had a nice integration happening with the folks from Rio-Tek. Our focus there is obviously on their customers, our customers now, on the employees and on looking for ways to improve performance both for the customer and for the company specifically through logistics and through presenting new ideas and technologies to customers. PureChem here in Canada, in the quarter, continued to expand. It made money. Today, we're continuing to grow the business. We're delivering increasingly positive financial results for the company through PureChem in Canada. I would attribute that to the scale that we've got too in the business. It's helping us cover all of our fixed costs that we've carried for the past two to three years. In this piece of our business, Canwell's been a nice fit for us or addition. It's got us a foot in the door in the oil sense and callers can expect us to be very focused on that in the future as we try to expand that enormous market. Clear Environmental, we had a nice quarter. I do need to report that we'd lost a couple of key employees there so our outlook is a little bit tampered. We think that this year's probably a flat year at Clear rather than a year of growth. Our focus is on our existing clients in continuing to be best in class for the people that we already work for. We're confident that we'll be able to do that. Our Edson facility through Equal has proven to be very complimentary to the Rio-Tek addition where most of that business is our base in Edson can support so that is very busy and Equal in southeast Saskatchewan remains very complementary to both our mud operations and to PureChem in southeast Sask. Across the border into the U.S., I would describe the second quarter for AES is very steady, both operationally and financially. Today, we're slightly ahead of where we were in the quarter. We have about 155 jobs running. Our areas of focus at AES in the U.S. or west Texas, we continue to have customer pickup of new technologies there. We're building out infrastructure to allow us to unlock growth in that market. As I've talked about in previous calls, our clay-free oil-based mud and technology we acquired last year, drilling fluid system that drilling people would call MMH, we're continuing to see customer using that with success. We've gotten to new shops because of that technology. We think with our oil and mud infrastructure that we're building out in west Texas, those two new technologies, we think that that's a market that we need to remain focused on. Our barite mill has become an end of the year completion for us so we're not going to see improvement in 2014 due to barite. That mill is on track. It is very important to our business to debottleneck that mine material. We continue to work on new technologies through JACAM to try to drive growth in AES specifically, that would be ways to help these clay-free inverts perform and to work on lubricants for both water-based and oil-based muds. At JACAM, the second quarter was a quarter of growth. We had geographic expansion for JACAM. We're continuing to build out in Texas. We're seeing expansion in the northeast U.S. All of our kind of historical markets, we're up a bit in the quarter. We're happy to report that solid chemistry, as we've expanded, there was reactors earlier in this year. Those products continue to open doors for us. They work for the customer. They're unique to us. Our patented H2S scavengers become our top moving chemical through JACAM in the U.S. That helps us remain very confident that the key to growth for our business both at the drill bit, the pump jack and in defracs and pipelines is the same. It's using science that's unique and it's having the best people and industry to apply it. We have had a nice development over summer. We've had a significant customer in the frac industry place a nice order for our nanotechnology that improves the performance of frac fluids, that's product line called Revive. People that have looked in to JACAM or the company or who were able to attend the investor day would perhaps recognize that name. That could be a nice add or build for us as we have lots of capacity in the plant to produce that product. There is some success with a competitor in the industry using nanotechnology for fracs so we think we can make a market there. We are working towards completion of hydrogenation. At JACAM, this will enhance AES results as that chemistry is a key input into our viscosifiers for oil-based mud. It will also expand our overall chemical offering and it will further vertically integrate our business. In conclusion, business is performing very well in a strong drilling market. we're using our technology, our scale, improving vertical integration, our focus on logistics to improve results. Barites become a 2015 improvement for the business. In hindsight, we're happier than ever that we put that mill in place, that we pulled the trigger on it as deeper formations are getting drilled that are higher in pressure, the need for that mine material is only increasing and the supply of it is not going up in North America. We need to bring that product from offshore and improve it or crush it here ourselves. Our production specialty chemical business is growing on both sides of the border. Our strategy remains, solve problems through science. We're using our scale, our geographic reach, vertical integration to drive financial results. We're actively recruiting top scientists to allow us to expand that side of the business and equal and clear continue to deliver and they complement our core businesses. We expect the next period to be very busy for industry in general and we're confident that we can grow our business in that environment. I'll turn it over to Craig for financial results and then we'll be happy to take questions.
Craig Neiboer: Thanks, Tom. Everyone, the Q2 results obviously represent a record Q2 for us driven by growth across all our business units as described by Tom. Gross revenue for the quarter of almost 190 million compared to 130 million previous year increase of both 60 million or 45%. EBITDAC for the quarter was 31.4 million compared to 17.2 million, so an even greater percentage increase over the previous year of 83%. Canada had very strong results, increased revenue by 20 million or 65% over the previous year and the U.S. also had very strong results, increasing revenue by 38.6 million or almost 40% from the previous year. Based on the financial results of Q2, we've reaffirmed our guidance for the remainder of 2014 with the upside top line of 880 million potential and an EBITDA number of up to 160 million. Based on these results, the business, as we've always done, looked conservatively at the go forward at the current state of the business. We made a decision at the board yesterday to raise the dividend by another quarter cent, that is our third dividend raise of the year since converting to a corporate structure and based on our guidance that we've given for 2014, that's going to still be in the low 50% pay-out ratio range which historically, for us, is the low end of the range that we've existed in so there's lots of room in our minds as we grow the business to continue to grow the dividend. As you all know as well, post quarter, we did have two successful financings completed. We expanded our high-yield debt portfolio by $75 million. It's now $300 million and we did a 75 million equity raise to fund the two acquisitions that we announce, Canwell and Rio-Tek and also for some dry powder as we continue to look for acquisition targets in particular in Texas with respect to the production and especially chemical business. So from this point, I guess, that's our report. We'll turn it over to questions from the callers.
Operator: (Operator Instructions) The first question is from Jason Sawatzky with AltaCorp Capital.
Jason Sawatzky - AltaCorp Capital: Hi, good morning, guys.
Tom Simons: Good morning, Jason.
Jason Sawatzky - AltaCorp Capital: Tom, just starting in Canada, just wondering if you could quantify the weather impact on the Canadian drilling fluid results. Just trying to you know see what that impact was.
Tom Simons: I would estimate that all the flooding in Saskatchewan impacted our drilling fluid operations there. I would say, though, that the bigger impact was just that our customers that we've built up over the last year or two weren’t as active in the quarter as the industry in general. But as things kind of level set here where people are back to work, the rig counts in the 400 plus range, we're sort of back to the share of the market that we expect to be at and we see some room to go up a bit here over the next short while.
Jason Sawatzky - AltaCorp Capital: Okay. Yes. I was just trying to reconcile the market share calculations as well. I know you guys had said you were having 25% in Canada then one of your other competitors have said they were 33% so I was just trying to reconcile that. Those are internal measures, though, I'd assume?
Tom Simons: Yes. I cannot speak for other companies. But, yes, we take what the industry publishes as activity and then we take our active job count so we don’t count stuff on standby. We count rigs where the pipes turning to the right and we're breaking bags or opening drums. You know I mean, everyone on the call is familiar with Q2 in Canada. It's somewhat lock at a draw whether for a service company, your customers push through breakup or not and at those lower activity levels, five or 10 rigs can be a 5% or 10% swing or more. We're not concerned. We see Q3, Q4, Q1 in Canada as being very busy. We're very focused on ensuring that we have materials on the ground to support what we think is going to be a flat out period of time. We were very focused in the quarter on training and recruiting people in anticipation of very active sort of three quarters and knowing that we need to be able to do the deal on location.
Jason Sawatzky - AltaCorp Capital: Okay. Great. So looking at the U.S., just wondering if you have an update on timing just around selling product chemicals into the Permian. Is that going to be in the next few quarters or you guys looking maybe towards you know next year or what's the timeline there?
Tom Simons: We hope it's sooner than later. That's probably as specific as I can be.
Jason Sawatzky - AltaCorp Capital: Okay.
Tom Simons: We're talking to people. We're talking to companies. The need for our H2S scavenger is significant in that market. The need for (SuperCore) is significant in that market and our desire to put those products in the ground there is huge.
Jason Sawatzky - AltaCorp Capital: Yes.
Tom Simons: So I think sooner than later is the answer but I can't be more specific.
Jason Sawatzky - AltaCorp Capital: Okay. No problem. And then just last question on the JACAM facility, I know you guys don’t like giving too much you know too much detail there but I know a few conference calls ago, you did give throughput, I think it was 20% to 25%. Can you give us a sense, maybe even just directionally, where that throughput is going on, on the JACAM facility just now that you’ve completed the expansions, et cetera?
Tom Simons: Well, we haven’t completed all expansions. I was there on Friday so I'm pretty fresh…
Jason Sawatzky - AltaCorp Capital: Okay.
Tom Simons: …on status there. Organophilic clay, that's where we're pulverizing clay and spring it with quaternary amine to make it drilling fluid viscosifier, that part of the plants running eight hours a day, five days a week. We think internal consumption as we sort of dial in the recipe for that product, we want to make that product differently for different base oils and different markets. In Canada, we use sort of a certain speck of a fluid. It would be a distillate from Husky or Gibsons or a refined oil from an Enerkem of the world. We needed specific type of formulation for that clay for here in the U.S. We've got synthetic oils and diesels that we make these muds out of. They take different kind of specs as well. As we get dialed in and supply all of our different base oils, we'll probably run that plant on two shifts. It was what (Jean) and I talked about Friday. We have not completed hydrogenation significant development since people say on the call and saw it at the investor day. The first half of that process probably done in the next three months and the second half of it done through the first quarter will be able to make part of the amine but need to do another chemical process to it with the second half of that facility. It all fits in that building the people have seen. That's unchanged. I would say throughput's probably as a percentage slightly up from what we were before but we're nowhere near being full there. We're not working around the clock and we're not working on weekends. What we have seen is a big increase in solid chemistry as those four new reactors were put on last – this past January. We kind of took the handcuffs off our guys and said go use this as a tool to get into new markets and new customers and we can't keep that stuff on the shelf.
Jason Sawatzky - AltaCorp Capital: Interesting. Okay. So in terms of – so maybe you're up a little bit from where you were on throughput, so when do you think maybe the big increase happens? Is that maybe towards the end of the year of maybe in the next year, first half or you see a real ramp up in throughput?
Tom Simons: I don’t think that it looks like a hockey stick. That business is a slow lift. It's sort of you know the term Craig's picked up over the last few years we mean in that space is it's sticky. So it's not like the drilling business where you pick up $10,000 a day of revenue when you get a customer. But we're seeing month-over-month increases in what we're needing to supply customers. We're seeing sort of broader pick up geographically. So we think it's just a slow steady built but it's a build that’s moving the needle.
Jason Sawatzky - AltaCorp Capital: Yes. Okay. Well, that’s great. Thanks, Tom. Thanks for the call.
Operator: The next question is from Steve Kammermayer with Clarus Securities.
Steve Kammermayer - Clarus Securities: Hi, guys. Just back to the JACAM here. I think you guys are up around 500 employees there now so that's up about a third from where you were when the acquisition was made. So I'm just wondering if the volumes produced there have kept pace with that headcount growth or if you're really just setting yourself up for that expected growth you're just talking about there.
Tom Simons: That's a crafty way, Steve. That's a new one. You know we're not in the business of being two years ahead in manpower but we certainly have brought people on so that place is like the Eagle Ford and the Utica and Marcellus where we're trying to induce customers to put us on work that we have people ready to go. Same thing, we're looking to bring some talent on to drive what organic growth we can build in west Texas. But we're not way ahead on people so it's not a bad indicator.
Steve Kammermayer - Clarus Securities: Okay. Great. And I think on the last call, you guys were talking about running that solid chemistry on 100 well project there in east Texas with a possibility that that could get up to 2,700 wells. Can you give us an update on that, how that's playing out so far?
Tom Simons: Yes. We continue to be working for that customer and the well count's going up. We're not on 2,700 wells but that product's still being used and, in fact, we're looking at other possible, sort of applications for that customer. My experience, Steve, is that if you can win kind of a blue chip operator in an area with a unique technology, all the other field form in that due production work for the oil companies, they figure out, their wells are going down less often. They're doing something different. I better figure out or I need to listen to the guys that are working for them.
Steve Kammermayer - Clarus Securities: Got it. Okay. Great. That's great. Thanks a lot, guys. That's all I have.
Operator: Next question is from Greg Colman with National Bank.
Greg Colman - National Bank: Hi, everyone. Just a couple of quick ones here. Tom, good to hear you know the great uptick on the solids with the reactors fully going now. I'm just wondering if you could give us a little bit of granularity as to what geographically the market is that seems to be driving the you know can't keep off the shelf – can't keep on the shelf to man there.
Tom Simons: Well, we're seeing pickup in Texas. Eagle Ford, some sort of Barnett type production that's on the books for people and in Canada, same thing as we introduce it. It stays.
Greg Colman - National Bank: And is it pretty broad based from the type of chemistry you're delivering there or is there a smaller subset of the overall suite that it seems to be predominantly that’s delivering asset for?
Tom Simons: Well, we've got 400 or 500 chemistries that we can provide as liquids. We don’t have that broad of a or sort a long of a list that are solids but we can hit the key things. We can hit corrosion. We can hit scale. We can hit H2S.
Greg Colman - National Bank: Great. And then probably just the last one you know your guidance is unchanged but I'm wondering if there's been any change from the mix of how you would arrive at that 145 to 160. I mean, you mentioned your kind of flat year-over-year rather than growth, but has there been a substantial change in the way you achieve kind of what you're saying the guidance or is it pretty much rolling out the year how you expect it over the past couple of months, no change there?
Tom Simons: As we've signaled to people over the last year, since we're not segregating sort of production specialty from drilling chemicals, people should look to gross margin as an indicator that the pump-jack frac pipeline piece of the business is growing and our margins are up a point or two over the last year and that's what I would attribute most of that too.
Greg Colman - National Bank: Okay. Great. That's it for me. Thanks a lot.
Operator: Next question is from Kevin Lo with First Energy.
Kevin Lo - First Energy: Hi, guys. Just noticed that you know that the dollars per day you guys are earning are quite high and you know obviously, through, I think, Greg's last question you know the similar attribution to more the product chemicals business, I mean, can you kind of give us any indication of how the base mud business is going in terms of, maybe more complexity of wells or more complexity of formulary or you know pricing dynamics?
Tom Simons: Still – it's still cost plus, Kevin. We still pass through mine the materials at barely over cost. It's a great business to be in. We think that we can charge a slight premium to the majors if we can deliver ways to lower cost. It's not a state secret that we introduced brine in the Montney in Canada and I believe there's a conference in September that four major operators are speaking at about how that technology has changed the economics of some of the deep drilling in Canada. We think that we need to continue to bring new ideas and we can do slightly better than the majors but it is a cost plus business. It's why we built that barite mill Corpus Christi. We think long term, we can squeeze as much out of it as possible by being vertically integrated but it just isn't the high margin business specialty chemicals can be because you’ve got all these commoditized stuff that's part of the formulation all the time. Our areas in Canada that are strong are the deep drilling market for the Montney, for the Duvernay. We're seeing other place that guys are having good results in for liquids. Obviously, $4 helps the cost a bit. SAGD market for us is really, really strong. We had a nice winter in delineation and you know if oil prices stay where they are, probably that's a good market for us every winter. Our Saskatchewan oil drilling, Cardium oil drilling business is good but the revenues is not as great because they're shallower wells. In the states, the Eagle Ford continues to be a success story for us. We are expanding in west Texas in terms of what our revenue is a day as the customers take more wells horizontal. I'm happy that we have new ideas to present as that happens. My experience is if you can get on work as a guys starts it, as long as you continue to keep him as one of the best operators in the area, you typically can stick on the work. We've seen a little bit of a recovery in the northeast U.S. That is a good market for us because it's synthetic fluids so that's a little higher margin. But in general, the mud business is still cost plus.
Kevin Lo - First Energy: Great. That's great answer. And my last question is, is just more of a housekeeping thing, besides the Venture Mud acquisition you guys did last July, everything else has been organic, right? Because as we see in the future growth that you guys have experienced and just the probability of revenue and all that but that's just through organic, better penetration, better JACAM and all that. Is that correct?
Tom Simons: Yes. For Q2, Kevin, the only piece of the business that didn’t exist in the previous Q2 is the Venture Mud business. That is correct. So there are – all the other growth is organic.
Kevin Lo - First Energy: That's awesome. Yes. Thanks, guys. That's all I have.
Operator: Next question is from Jeff Feterly with Peters & Co.
Jeff Feterly - Peters & Co.: Good morning, guys. On the CapEx side with the pushback in timelines for the barite mill, what do you expect spending the share to look like?
Craig Neiboer: So we have that in our MD&A, Jeff, and it's been consistent. It's 5 million of maintenance CapEx and 45 million of expansion CapEx. The pushback is still within the same year so the spend will still occur this year so our CapEx plan hasn’t changed for 2014.
Jeff Feterly - Peters & Co.: And with the expansions on the JACAM side, do you carry anything until 2015?
Craig Neiboer: Yes. We'll continue – there's be some projects that are going to roll over into 2015. We haven’t put together our formal 2015 guidance and CapEx expectations. But I've been guiding investors and analysts that you know when you look at the business model, probably a pretty good modeling number for a go-forward CapEx for us is somewhere around 5% to 6% of top line and that's probably going to keep you in a pretty safe bond that is going to end up being the projects that we decide to do and spend money on.
Jeff Feterly - Peters & Co.: And on the JACAM side, the reference on the MD&A to the solid chemistry line expansion, is that just referring to what you’ve brought on stream or is there anything incremental that's in the works?
Craig Neiboer: No, that would be the stuff that we've actually done.
Jeff Feterly - Peters & Co.: Okay. And on the Permian side for AES or sorry for Venture, where do you guys sit in terms of active rigs in the Permian today?
Craig Neiboer: We're at a low 40s rig count in the Permian today. I think it's 42.
Jeff Feterly - Peters & Co.: Okay. Tom, your commentary at the beginning, you said 155 in the U.S. What's your bias in terms of where that number might exit the year?
Tom Simons: I don’t know if it will change. I think for us to actually change that in a way that matters, Jeff, we need that mill to put out that heavy rock.
Jeff Feterly - Peters & Co.: Okay. Great. Thanks, guys.
Operator: Next question is from Dan MacDonald with RBC Capital Markets.
Dan MacDonald - RBC Capital Markets: Hi. Good morning, gentlemen.
Tom Simons: Hi, Dan.
Dan MacDonald - RBC Capital Markets: Just wondering, Tom, can you give us a sense of kind of where you are in terms of the vertical integration of having JACAM make some of the source inputs here for your drilling fluids business and maybe any insights on how much JACAM's capacity might be being utilized for that now?
Tom Simons: Well, as a percentage of capacity, it's barely anything. So it hasn’t consumer a lot of that plant, sort of, the use of that plant is mostly adding new top line. Specifically, we're making oil emulsifiers at JACAM. We've synthesized and trialed some lubricants for the U.S. market. We have used lubricants for the Canadian market from JACAM. People have heard us talk about this organophilic clay. We're making our own viscosifier for some of our oil-based muds. We will expand the use of our own manufactured viscofiers as we dial in the formulations for different base oils. As I said earlier in the call, we will also improve the financial results for ourselves on that product as we finish hydrogenation. And then we have corrosion inhibitor for our brine in Canada coming out of JACAM. That has been a game changer for us to be able to utilize that type of system for operators here. So that's been a huge win. Those are the things, I think, Dan, that are meaningful.
Dan MacDonald - RBC Capital Markets: So I guess is it safe to say then it hasn’t had that much of a margin impact kind of on your core-drilling fluids business as of yet and it's still a pretty big future opportunity longer term?
Tom Simons: Yes. The margin pickup is longer term. What it did, though, is it allowed us to take the salt system into the Montney and not wreck all the drill pipe of all the operators in the country. So it has made a big impact on the mud business. And it's given us the confidence to establish a beachhead in west Texas, sort of I think long term, one and one can be three there because we know that we're going to be vertically integrated long term and I think our customers see that and it matters to them a lot because I remain convinced that the customer with how much money is being spent on chemistry in the industry does not want to buy from resellers.
Dan MacDonald - RBC Capital Markets: Right. Okay. Great. That's all. Thanks, Tom.
Operator: Next question is from Bhakti Pavani with Euro Pacific Capital. Your line is open.
Bhakti Pavani - Euro Pacific Capital: Good morning, guys. Just wanted to get a quick update on the oil base mud line that you mentioned in the last call that you introduced. You know you did say that you wanted to set up the second plant. Is that still on go? Then if you can provide some kind of timeline on that.
Tom Simons: Well, the first oil-based mud plant for west Texas was commissioned through the quarter. It's running. We're supporting rigs with it. We think we can create some growth off it. The fact that we have that infrastructure, it certainly helps us capture a bit of margin because we're not bringing that product from our plants further east in Texas. We do or are continuing to move ahead with our second plant. It's going to be in a little town called Kermit. That will allow us to produce oil-based muds both diesel and synthetic that could support sort of the Texas-New Mexico border area. We've had some big customers announced that they're going to accelerate programs in New Mexico so we like our location there and people can expect that that will come on line towards the end of the year.
Bhakti Pavani - Euro Pacific Capital: Okay. That's helpful. Also, I believe the previous analysts asked you about the barite mill facility. Just kind of curious to know, what were the reasons or if you can provide some color on the pushing of the deadline from Q3 to Q4?
Tom Simons: Well, the delays have actually been almost a year and they're entirely permit-related. We haven’t had delays because we've had creep in cost and we've changed who's going to build it or where we're going to get equipment. The equipment, the plan, the yard where we've grouted with cement, all of that has remained the same for the last couple of years. We've had changes by the port authority on how hurricane-proof you need to be and then we've also had changes come back in terms of requirements for how stable the land is so that's increased the amount of cement grouting that was required and there's being changes in permitting requirement for air quality. And all that stuff is just a slow, tedious process.
Bhakti Pavani - Euro Pacific Capital: Okay. Also, you did mention last call that you know you had an intention of getting into the oil sands market and you made Canwell acquisition. Was just curious to know you know do you think that's a good starting point and what would be your strategy in approaching that market?
Tom Simons: Yes. That's a great question. It's a very important market for people in our business. Cap talks about spending 800 million a year there on chemistry. Today, what we're doing is selling H2S scavenger into that market. That little acquisition gave us a bit of infrastructure in Edmonton so we can bring up the need to concentrate product either out of Kansas or other sources and then finish it in Edmonton. It can go up to the oil sands from there so that's a good place to stage and take that product north. Our strategy is to introduce our scale, our corrosion chemistry to our customers that are buying H2S scavenger and use the fact that we're in the space to try to solicit business from other operators probably starting with H2S scavenging and then expanding from there.
Bhakti Pavani - Euro Pacific Capital: Perfect. And the last question, of the two acquisitions that you made, Rio-Tek and Canwell, what kind of cost saving synergy you can obtain from them, if any?
Tom Simons: I don’t know that we could quantify that number but certainly, at our scale, when you add small businesses like that, we're going to be able to find a couple points of margin. My experience is that some of that will go out the door to the customer. If you can improve things in our business, you give some of that to the customer and ideally keep some of that.
Bhakti Pavani - Euro Pacific Capital: Okay. Thank you very much. That's it from my side.
Operator: (Operator Instructions). The next question is from Elias Foscolos with Industrial Alliance.
Elias Foscolos - Industrial Alliance: Good morning, I have two questions. The first one has to do with the guidance that was increased early in July. Roughly, it was about 60 million increase. I'm wondering how much of that increase came from results, call it year-to-date, the Canwell and Rio-Tek acquisition and your forward-looking projections. Maybe a percentage breakdown or something along that line.
Craig Neiboer: Elias, this is Craig. So I mean, I think it's a combination of all those things and I think you know from our perspective, trying to parse out exactly what part of those three things it is, is, you know, not very – there not lot of utility in that from our perspective. So as we go forward, we will continue to give guidance, changes and updates as to make sense for the business.
Elias Foscolos - Industrial Alliance: Okay. The next question, with respect to those two acquisitions, Rio-Tek and Canwell, it looks like there was about 485,000 pre-split shares issued or about 1.45 post split. Was there any cash consideration paid for those acquisitions and if so, how much?
Craig Neiboer: The Rio-Tek acquisition included that shared component. In the Rio-Tek acquisition, similar to all our structures, we're retaining the key players in the business and part of that retention is them taking escrowed shares and CU. So those shares were allocated in the Rio-Tek acquisition and then obviously, the rest of the acquisition cost was paid with cash. The Rio-Tek acquisition included an earn out component as well. The Canwell acquisition, the principles were you know older – an older gentlemen who already was semi-retired so we did not include a share component to that acquisition and it was an all cash acquisition done on close.
Elias Foscolos - Industrial Alliance: Okay. No – you don’t want quantify them sort of in total?
Craig Neiboer: No we didn’t – we didn’t release that in our press release. A lot of that is you know at the end of the day, the size of the acquisitions, obviously, from a materiality basis on a $2.4 billion EV company aren’t material and, for once again, from our perspective, we didn’t see the utility in releasing those numbers.
Elias Foscolos - Industrial Alliance: Okay. Thanks. That’s it.
Operator: There are no further questions at this time. I will turn the call back over to Tom Simons for closing remarks.
Tom Simons: Well, we'd like to thank callers for their time this morning. Craig and I are, as usual, happy to take calls from people directly. As Craig mentioned, we'll continue to provide guidance and our outlook for the business and we thank everyone for their time. That's it. Thank you.
Operator: This concludes today's conference call. You may now disconnect.